Andrew Mackenzie: So, welcome everyone to our 2018 financial year results. I am in Melbourne. And Peter Beaven, our Chief Financial Officer joins us from London. And as always, please note the disclaimers both here and at the end of the presentation and their importance. Today, we announced a very strong set of results built on the solid foundations that we have set over the past 5 years. At BHP, our focus is simple to maximize cash flow, maintain capital discipline and increase value and returns. We stay accountable to this through a sharp focus on our six key strategic value drivers on a culture of continuous improvement and our disciplined use of the capital allocation framework and they have all contributed to a strong set of results in 2018 and we will build momentum into 2019 and beyond. Higher volumes and higher prices drove underlying EBITDA to over $24 billion and net operating cash flows increased to $18 billion. We reduced net debt by over $5 billion. We invested $6.8 billion in our high return development options and we announced dividends of $6.3 billion. Before I hand over to Peter to go through our financial performance in detail, let me turn to our priority, safety. The safety, health and well-being of our people is our number one priority. And tragically over the 2018 financial year, two of our colleagues died at work and we will not accept this, so it’s vital we lay out as much as we can from these tragic incidents. Over the year, leaders across BHP have health safety engagements with a record number of employees and contractors and we will build on this to share lessons learned with as many people as possible. We also had a slight increase in our total recordable injury frequency to 4.4 per million hours worked. And while the increase was modest, I am encouraged that our safety initiatives have helped reduce the number of events with a potential to cause a fatality by 8%. And for us, this is an important leading indicator of our future safety performance. The further deployment of technology amongst many things also provides us with an opportunity to remove our people permanently from harm’s way. And for example, since we started using autonomous haul trucks at Jimblebar, significant incidents there have followed by more than 80%. At Samarco, we remain committed to the recovery of the communities and the ecosystems affected by the dam failure. The Renova Foundation has made substantial progress in accordance with the framework agreement. I visited Brazil again in May to spend time with the team in Belo Horizonte. And despite challenges the speed and scale of progress they have made since my last visit are remarkable. And I am pleased to report also that Renova has just received the final licenses, so it can commence reconstruction of the Bento Rodrigues resettlement. And that’s important because for BHP, the resettlement program is key and so we are very pleased to reach this major milestone as we work to rebuild the communities that were impacted by the Samarco tragedy. The new governance agreement with the prosecutors that we signed in June is also a major step forward. It settles the BRL20 billion claim. It enhances community participation. And it provides a constructive technical framework to work towards the settlement of the BRL155 billion claim. So, while we still have much to do in Brazil I am encouraged by the team’s hard work and by the progress they have made. So, I will now hand over to Peter. Welcome Peter.
Peter Beaven: Thank you, Andrew. Higher prices and solid [Technical Difficulty] strong 2018 financial year. Excluding onshore U.S., which is treated as a discontinued operation we generated EBITDA of $23 billion, up 20%. Our margin was 55% similar to that achieved in 2011 when prices were 70% higher. It’s a clear endorsement of our productivity focus and underlying attributable profit was almost $10 billion, our highest since 2014. Including onshore U.S., we recorded three exceptional items, a $2.8 billion impairment against the carrying value of onshore U.S. that we announced last month, the $1.8 billion charge associated with U.S. tax reform that we booked last half, $650 million related to Samarco largely due to updated estimates for Renova’s programs. Including these and the onshore U.S. results attributable profit was $3.7 billion. Each of our commodities again made a significant contribution. Iron ore generated EBITDA of almost $9 billion at a margin of 61% as improved productivity and supply chain stability supported lower costs and record volumes. Corporate EBITDA almost doubled to $6.5 billion at a margin of 54%, with record all-milled Escondida production is at levels seen in 2006 when grades were 50% higher. Coal EBITDA increased over $4 billion as Queensland Coal overcame early challenges at two of its operations to deliver record production. And finally, Conventional Petroleum contributed more than $3 billion at a margin of 62%. Here, our focused exploration strategy is extending the development pipeline and supported a year-on-year increase in resources of over 300 million barrels. EBITDA waterfall charts, which I present each period clearly shows the benefit of higher commodity prices. While we are beginning to see signs of inflation in certain areas, not a big diesel contracted costs and raw materials our strong operational performance means we again captured this upside. Over the year, group production increased by 8%. The releases of latent capacities supported record production at nine operations. However, this is partly offset by lower volumes from Conventional Petroleum due to field decline, Olympic Dam due to the planned maintenance campaign and two of our BMA mines due to geotech issues. Each of these also had a negative impact on fixed cost dilution, which is a key driver of the increase in controllable cash costs and our overall productivity performance. We have consistently said that productivity gains would be lumpy. And in 2018, that’s been evident. The planned maintenance at Olympic Dam and unforeseen challenges at BMA both weighed on productivity in the first half, but with almost $400 million of productivity gains delivered in the second half, we largely offset these and carry good momentum into new financial year. Over 2018, Escondida contributed more than $0.5 billion of productivity gains with the ramp-up of the third concentrator. And Western Australian Iron Ore contributed a further $0.5 billion as we achieved record production and further reduced unit costs. Our productivity target for this year is $1 billion and largely reflects the ongoing release of latent capacity across our Australian iron ore and coal assets. Despite the strong recent productivity performance and our expectations for financial year ‘19, the first half productivity challenges in coal and the divestments of shale and Cerro Colorado means we won’t achieve original productivity guidance over the 2 years to the end of the 2019 financial year. As we harness technology continue to optimize the way we work and further empower our people will continue our productivity journey and drive additional improvements into 2020 and beyond. Going forward, we will increasingly talk to production and unit costs, which are more directly applicable to EBITDA and cash flows. Costs of our major assets were broadly in line with guidance and where costs continue to decline. In 2018, they fell a further 5% in Australian dollar terms. And despite an increase in strip ratio will lower these to below $13 per ton in the medium-term. At Queensland Coal, costs were impacted by geotech issues, while these are now well managed, ongoing productivity improvements will only partially offset an 8% rise in strip ratios and inflationary pressures in 2019. At Escondida, cost rose as the benefit of a one-off prior period change in estimated inventories unwound. This year improved labor productivity and optimized maintenance strategies will keep cost below $1.15 per pound, despite $0.04 per pound in labor negotiation settlement costs and grade decline of over 15%. Lastly, in Conventional Petroleum, costs last year and us reflect lower production due to natural field decline. On average, unit costs are expected to increase slightly in the 2019 financial year as our ongoing productivity and efficiency measures mitigate the impacts of grade and field decline, high strip ratios and emerging inflationary pressures. These charts need little explanation. I highlight the tremendous cash generating capacity of our assets. Over the year, net operating cash flow was $18.5 billion and free cash flow was $12.5 billion close to the record set in 2011 at the peak of the last cycle. BHP has generated over $25 billion of free cash flow in 2 years, fantastic results. In the 2019 financial year, if spot prices persist, we expect free cash flow of around $9 billion as lower prices relative to the 2018 average, higher tax installments and an increase in capital expenditure offset continued strong operating performance. Our capital allocation framework remains institutionalized across every financial decision we make. We use it to transparently guide capital between balance sheet, investment and returns to shareholders. It supported by robust processes, this worked well since its inception. Over the period, we invested $6.8 billion. We reduced net debt by over $5 billion. We paid $5.2 billion to our shareholders. Since changing our dividend policy 3 years ago on top of the $8.4 billion under the payout ratio, we have announced additional dividends of almost $4 billion. Over the past 2 years, we reduced net debt by over [Technical Difficulty]. Today, we said $10.9 billion. Our commitment to a strong balance sheet is unwavering. And as we said previously, this translates to net debt of between $10 billion and $15 billion in the medium-term. With net debt now in the low half of this range and our capital programs funded from operating cash flows, we expect to return the net onshore U.S. proceeds to shareholders. I know this is of great interest to many of you, but we will confirm how and when these will be returned at the time of the deal completion. We have a rich suite of quality organic opportunities. However, our commitment to capital discipline means we only invested in the best of these. In the 2018 financial year, we approved two major projects, the South Flank sustaining line in Western Australia and the Spence Growth Option in Chile. At the time of approval and at consensus prices, these offered average returns of almost 25%. These projects, along with our three other major projects and four latent capacity projects are included within our guidance for 2019 and 2020, which remains unchanged at below $8 billion per year. Our relentless focus on capital productivity is seeing us thrive on lower levels of capital. We continue to push to get the most out of every dollar we invest and are seeing strong results from this focus. Over the year, return on capital employed increased to 14% or 18% excluding onshore [Technical Difficulty]. The red lines indicate where each sat when I first presented this 12 months ago. And as you can see, all assets have reported an improvement. Higher prices clearly helped, but so too have our actions. Escondida reported a large step up in returns as it benefit from the ramp up of Los Colorados at a full year production following industrial action in 2017. Western Australian Iron Ore continued to provide returns with almost 30%, with further production creep and productivity improvements across the supply chain. We are confident that our detailed asset level plans will drive continued improvement to around 20% in the 2022 financial year assuming 2017 financial year prices. We remain absolutely focused on maximizing cash flow, maintaining capital discipline and increasing value and returns. In the 2018 financial year, we made great progress against each of these objectives. Strong operating performance and ongoing capital discipline supported free cash flow of over $12 billion. Our balance sheet is more or less where we wanted to be. Our return on capital continued to improve and is now over 14%. And we have just declared a record final dividend $0.63 per share. We set the platform for the next wave of value growth and increased returns to shareholders. The organization is running well, but we know we can do better. We are adding a further $1 billion of productivity in financial year ‘19 with lots of value growth options, but must execute on the best of these. We have 5 major projects, 4 latent capacity projects underway, all with high returns and we look forward to returning over $10 billion of shale proceeds to shareholders. So while we have had a good year, we are confident that there is more to come. Back to you, Andrew.
Andrew Mackenzie: Thank you, Peter. The intelligence that our marketing team provides is a differentiator for us and therefore is an important input to all our investment decisions. As usual now, their detailed insights into the economic outlook and to our commodity markets, is available in today’s prospects blog on our website and I encourage you all to read this. Just briefly, global businesses like ours face a volatile mix of geopolitical challenges and that of course includes the recent shift by some towards protectionism. As I have said before on many occasion free trade is vital to the health of the global economy. It’s the free flow of capital, goods, services and ideas across the world, which is the engine of sustained growth, which underpins the prosperity of companies like BHP and their host nations. We are therefore somewhat cautious about the short-term outlook as we monitor closely the trade and geopolitical developments I have just been speaking about. But despite this, our long-term view remains positive. Population growth and higher standards of living across the world will sustain demand for decades to come and we have shaped our company accordingly. So over the past 5 years, we focused the portfolio on our best and more strategic assets. We have leveraged distinctive enablers to prepare our company for the future. We strongly believe in a simple yet diversified portfolio of Tier 1 assets and we see the benefits too of having a committed and connected workforce who can concentrate on the things that matter most without distraction. So, they always push our safety performance higher, identify and quickly replicate best practice and harness the increasing power of innovation and technology. So let me elaborate on the secure foundations that we have laid across our portfolio and our culture and our strategy, because combined with our bold ambitions, they will allow us to seize opportunities for future success. Simplicity is one of our charter values and the makeup of our portfolio is now a testament to this. The recently announced sale of our onshore U.S. assets brings total divestment proceeds to more than $18 billion over 6 years and these along with the South32 demerger have made BHP a much simpler, stunningly simple I would say company with just 13 operated assets. These large long life assets produce the high-quality products that we sell to our customers and make them even more valuable in an environmentally conscious world. They are low cost and they generate strong cash flow through the cycle. There is stable low risk jurisdictions and enjoy security of tenure and they are in value chains, rent is concentrated close to the mine gate or the wellhead, which is where our resources and our capabilities are at their most competitive. Our experience demonstrates that great ore bodies get better over time. And as this occurs, we are able to unlock more optionality within our footprint and these options are low risk, low cost and highly capital efficient. And so with the possible exception of more copper and conventional oil, we have closed our ideal portfolio and a portfolio that is truly unique with abundant organic opportunities to meet our short, medium and longer term ambitions. And all of these development options are filtered through our capital allocation framework, which apply strict oversight to all our investment decisions. But success is not just about the right assets in the right commodities, it’s how you develop and operate them truly creates real value. BHP’s identity has steeped in more than 130 years of history and over this time we have held ourselves to attempt through high levels of governments, rigorous processes and as the company evolved, systems in bureaucracy grew in complexity as we now have now tackled this on several fronts, culturally organizationally and operationally. We have restructured to create global functions and centers of excellence for things like maintenance. We have unwound almost a decade of cost inflation through our new operating system. We have made our work leaner and fit for purpose and we have embraced the business case for greater diversity and gender balance and we have engaged and connected our workforce, which has helped unlock even more productivity. So we have come a long way, but we still see a great potential to further reduce bureaucracy to unlock the next wave of productivity through technology and automation throughout the value chain and to build a culture that rewards and celebrates agility and innovation. But it also retains our long commitment to discipline, to safety and strong governance. Combination of our simple portfolio and our empowered culture really brings our strategy to life. So, over the past 2 years, I have consistently outlined our six strategic focus areas that increase the value and returns of BHP. Cost efficiencies, technology, latent capacity, major projects, exploration and onshore U.S. And over the year, we have continued to make good progress in each of these. We have reduced C1 costs at Western Australian Iron Ore to $13 a ton. We have implemented technology to advance our drive for automation throughout our value chain. We have progressed 4 latent capacity projects, with average returns of around 50% and we have approved two major projects with average returns of almost 25%. We have encountered hydrocarbons at 4 exploration wells, including just last week at the Bongos prospect in Trinidad and Tobago and we have signed agreements to make a clean all-cash exit from shale. These are strong results, but our plans demand more, much more as we push to lift our base value by 40% and 2017 prices return on capital to 20%. So, maybe some details. In Minerals Australia through operational excellence and the release of latent capacity, we will build on our momentum and we expect record production at our number of our assets there this year. At Queensland Coal, we will offset an 8% rise in strip ratios through increased productivity and the ramp-up of the Caval Ridge Southern Circuit. And at Western Australian Iron Ore, we expect to exit the year at a record annualized rate of 290 million tons, a 30% more than envisaged with our last major growth project in 2014 as costs of almost half since then. In Minerals Americas, we expect Escondida to average 1.2 million tons per annum to 2025. Continuous improvements in fleet run-time and labor productivity and in concentrator throughput will help offset lower grades. So that despite grade decline and increased use of more expensive desalinated water, we will keep our costs there to below $1.15 per pound in the medium term. And last week’s agreement at Escondida, which has now been signed along with other recent settlements across our portfolio such as those at BMA and at Spence will now provide BHP a period of industrial relations certainty and calm. And we are going to use this to even further engage our workforce right to the front line, so that we enhance our culture and accelerate productivity. At Spence, the development of the hypogene resource remains on track and we will significantly increase output from last year’s record 200,000 tons when it comes online in 2021. And finally to Conventional Petroleum, which remains a great business for our shareholders. It consistently generates strong cash flows and returns. And over the past 10 years, we have consistently shown as well that we can replace barrels at a competitive cost and that our quality portfolio of future investment options remains high, so that we enhance our culture and accelerate productivity. At Spence, the development of the hypogene resource remains on track and we will significantly increase output from last year’s record 200,000 tons when it comes online in 2021. And finally to Conventional Petroleum, which remains a great business for our shareholders. It consistently generates strong cash flows and returns. And over the past 10 years, we have consistently shown as well that we can replace barrels at a competitive cost and that our quality portfolio of future investment options remains highly competitive for capital. We built a suite of 30 low cost Brownfield projects, with average returns of 40% to offset fuel decline and we have two major projects in execution, Greater Western Flank B to be completed in 2019 and Mad Dog 2 comes online in 2022 and both are attractive at an oil price below $50 a barrel. Our pipeline of 8 additional major projects in petroleum at various phases of evaluation and development is highly attractive with average returns of more than 25%. And their exploration strategy also shows great promise. Each well brings us closer to understanding the scale and commerciality of recent discoveries and confirms that we are operating in attractive exploration fairways. Across our suite of petroleum opportunities, we will look to accelerate production now in order to capture favorable prices. So, now let me finish what I began. Our focus remains on three things: maximize cash flow, maintain capital discipline and increase value and returns. Over the past 5 years, we have laid foundation to support these strategic initiatives. We have reshaped our portfolio and enhanced our future options. We have institutionalized our capital allocation framework and strengthened the balance sheet and delivered a step change in productivity. The benefits of these foundations are clear in our 2018 financial year results. We delivered volume growth of 8% and free cash flow of more than $12 billion. We reduced net debt, invested in future growth and announced returns of $6.3 billion to shareholders. That includes our highest ever final dividend. And we increased return on capital employed to over 14% or 18% if you exclude shale. We will build momentum now into 2019 as we focus on our six value drivers. Productivity is expected to mitigate inflationary pressures, high strip ratios and lower grades. Free cash flow is expected to be around $9 billion at current spot prices. And that excludes the $11 billion expected from the shale sale. And as we progress plans I have outlined to-date, we will develop more organic opportunities under strict capital discipline and improve return on capital employed. We also expect to return the net amount of the shale proceeds to the shareholders on completion of the transactions. And as we look forward, our focus on capital discipline, cash generation and value and returns will not waiver. And with a constructive outlook for our commodities, lower cost and higher production with a culture of continuous improvement, with a strong balance sheet and a rich suite of quality organic options, BHP is setup for a great future. Thank you.
Operator: Your first question comes from the line from Paul Young from Goldman Sachs. Please ask your question.
Andrew Mackenzie: Hi, Paul.
Paul Young: Yes, hi, Andrew and hi, Peter. Andrew, a few questions on met coal and also conventional oil, just looking at met coal, how confident are you that you can reverse the cost trend and actually achieve that medium-term cost target? And then also looking at growth opportunities, the ability to actually accelerate projects such as Blackwater [indiscernible] well and they are looking at conventional oil, some great exploration success recently. I am just thinking should you not increase – look to increase your conventional explorations then further host the sell at U.S. onshore and then looking at that recent success in Trinidad and Tobago and now Samurai, which I note that your part of military seems pretty excited about. One of the conceptual development plans for the discoveries at T&T and waddling Samurai an opportunity? Thank you.
Andrew Mackenzie: Okay, that’s a lot there. Maybe I will answer all your questions to give time for a few others as well. But let me talk about met coal, yes, we are confident that we can reverse the cost trend. Obviously, as Peter explained, some of the more difficult geotech conditions that we faced at Blackwater and Broadmeadow have led to slightly higher costs than we would have expected. But with everything we are doing, with improving the reliability and the cycle time and the compliance plan of our mobile operations we believe that we can continue to creep our volumes at the same time as reducing our costs. And certainly if that means that some of our growth opportunities could be accelerated we will choose to do so. It’s a good discussion as to whether we should increase exploration spend. Of course, we are pleased that we are finding hydrocarbons. We think we are in the right place, but you need to analyze these things as you go along. You need to think about what it means for the geology and there is an optimum pace. Obviously, the more successful we are, there is the case to increase our spend and of course at the moment we do have access to one of the cheapest drilling contracts I think to drill some of those wells in the industry as a wave as part of our countercyclical commitment to that. At conceptual development plans, we are working on them all the time. It depends – and you mentioned several accumulations as to how connected they might be, we might want to do some that tries to establish that connectivity. We are going as fast as we can, but I have nothing to talk to you about right now.
Operator: Your next question comes from Hayden Bairstow from Macquarie. Please ask your question.
Andrew Mackenzie: Hi, Hayden.
Hayden Bairstow: Hi, Andrew. How are you doing?
Andrew Mackenzie: I am good. Thanks.
Hayden Bairstow: Just a follow-up on Olympic Dam or maybe just understanding you are confident to hit the ramp up of those underground sort of made-reach targets you are setting yourselves, in my mind I think reasonably aggressive to see those made-reach targets good jump. I mean, what’s your confidence there and what’s the variability that you think on the outcome as you go through that ramp up in the next couple of years given Olympic Dam clearly the lagging asset now from a royalty basis?
Andrew Mackenzie: Yes. I accept that we have a lot to do to continue to build confidence in Olympic Dam, but this is something that we can really concentrate now as an organization since we have cleared almost everything else off our table other than just making the most of this tremendous portfolio we have now got. And so our attention is very much on Olympic Dam. We have seen since we last spoke to a considerable improvement in our development rates at Olympic Dam in the Southern Mine area and that I think has put our growth plans that we have for Olympic Dam back on track. You are right to acknowledge the criticality of that. We have also seen since our major shutdown big improvements in smelter performance, but as we have announced in our announcement today, where it’s just assessing a small issue in the smelter in the asset plan, but yes, I think it’s something that really is very important to us now to get right. It’s the one piece of a business that we want to get to the levels of return that you saw in Peter’s slide that we are getting everywhere else, now that shale has gone and it will absolutely have the focus of the best and brightest in BHP to make that happen.
Hayden Bairstow: Great. Thanks.
Andrew Mackenzie: You are welcome.
Operator: Your next question comes from Menno Sanderse from Morgan Stanley. Please go ahead.
Andrew Mackenzie: Hi, Menno. Thanks for staying up so late.
Menno Sanderse: Good morning, everybody. Two simple questions please. Productivity improvements of $1 billion for FY ‘19 seem quite ambitious even if you compare to a very good second half in FY ‘18, what gives you the confidence that you can deliver this type of step up? And secondly, around Escondida, can you maybe give us a little bit more detail in the cost proposed last week and the projects from now when the [indiscernible] is in the bag or not?
Andrew Mackenzie: It’s in the bag. I think your line broke up. I mean, we have signed everything with the union. The deal was done. And it’s been done on market. It’s a tremendous achievement for the team. And we have secured some changes to the health agreements which means that we can provide better health support for what was probably a lower cost and we have also secured changes in work practices that will allow us to continue to drive productivity in Escondida to make sure it remains highly investable even though grades are falling. The productivity for $1 billion, well of course, we had a slightly higher ambition a bit earlier, which we have had to kind of push out into FY ‘20 as a result of really the issues in coal, I have already referred to not going away and as having to deal with sort of higher cost operations in order to produce the coal at Blackwater and Broadmeadow. But again it’s a bit similar to the comments I made to Paul, we are now firing on all cylinders in trying to improve the productivity particularly of the mobile fleet and the efficiency of our stripping and the signs are good.
Menno Sanderse: Okay, thanks.
Operator: Your next question comes from Lyndon Fagan from JPMorgan.
Lyndon Fagan: Thanks very much. Andrew, you have spoken a lot about the portfolio, can we sort of eye in a little bit on Conventional Petroleum. There is still quite a large number of assets in that division, a lot of which small. What is your long-term vision for that portfolio? Do you see it ultimately shrinking a bit from here to get it right or do you think it is actually right at the moment?
Andrew Mackenzie: Well, we of course, are facing a period of reasonable decline as the existing production age is and obviously our exploration success and our success in Mexico is creating a number of possibilities in the fairness of time we can replace that production and reverse that decline, but there is a bit of trough in between that. Now, it’s not absolutely essential that we feel that trough it has to fit within the capital allocation framework. We don’t have particular targets for the size of particular businesses, it depends really on the options they generate and how they compete within the capital allocation framework as to which gets the most growth capital. So we like the business and we would like to keep generating options there. We have a fair set at the moment and so exploration shows one way to it and clearly I have said in some circumstances we would consider some form of acquisition, but it’s not critical for the strategy of the company.
Lyndon Fagan: Okay. And just a second question, I will ask the Jansen question this call, just wondering about the $122 million increase in the budget there and also I guess any latest thoughts on trying to monetize a bit of that asset? Appreciate all those given it’s still a drag on the royalty curve?
Andrew Mackenzie: Okay. So that increase in budget is simply as a result of having to provide for what it will take to complete the shots. We always said it would do that – we had assumed in our initial budget for the shots we would have made a decision at this point, which as you know we have deferred and we are not in a hurry to make a decision about a project. In the meantime, we continue to work on the engineering of the project so that we can improve the returns. We are looking for a partner, which of course could give you early monetization and we are watching the market, but not in a hurry to make a decision.
Operator: Your next question comes from [indiscernible] from Credit Suisse.
Unidentified Analyst: Thanks, Andrew. Just two questions please. First is with regards to CapEx outlook for the next couple of years, just down to that $8 billion number, I mean, how should we think about that given you put a billionish into onshore petroleum. I mean, should that number affect – should we normalize for that number effectively with $7 billion now? And then just few comments around taking that $10 billion to $15 billion net debt range and putting that onshore proceeds to one side, can you just put a talk around that a little bit and should we expect that anytime you expect net debt to go below that $10 billion that will manifest in increased returns coming back to shareholders? Thanks.
Andrew Mackenzie: I am going to ask Peter to ask you answer your two questions basically on the CapEx side with Peter of $8 billion and our commitment to the net debt range. Peter?
Peter Beaven: So, on the CapEx we have guided this year and this current financial year of onshore CapEx, but what we have also – and we know that, that’s obviously not going to have everything further in FY ‘20. We knew that and we are happy with that, but we have got projects that have been added to the list and they were great projects. So we are very happy to continue to how old that guidance at less pace or less for this year and next year. I think that makes perfectly good sense. On the net debt range, 10 to 15 medium-term we think that that’s the right number for us. We have a very strong ability to generate cash flow obviously in the current circumstances, but as we know also in difficult circumstances and of course we said that range in a stress testing environment, in our modeling and so we think that’s the right number. So we should expect us to be at the bottom end of that range given uncertainties in the world, but I don’t think at this point in time we are expecting to be less than that in that range. At 10.9, we are pretty close to the bottom of it, so, good.
Andrew Mackenzie: Is there another question?
Operator: Your next question comes from Clarke Wilkins from Citi.
Andrew Mackenzie: Hi, Clarke.
Clarke Wilkins: Hi, Andrew. Just first question on Nickel West, yes, how does that fit in the portfolio now, I know its front of the scale, but I think in recent presentation you talked about extending the life up to 2,040 feet. Things are getting there unlocked by putting out the scale. So how does that fit within your portfolio thinking now? And also just on the cost inflation size, again some cost pricing pressure is returning, what are you seeing there and also just had any impact on the sort of CapEx side of – instead of the CapEx side basically remain unchanged despite the U.S. onshore assets effectively dropping out?
Andrew Mackenzie: Okay. Look on Nickel West, we will have backtracked when we did the South32 demerger, we retained Nickel West because we actually didn’t feel South32 could really handle an early closure of Nickel West if markets have continued to deteriorate, of course markets have stabilized. And as you have commented, the team we have put into run that, this is not only the reduced closure costs, which now seem not as relevant, they have also made the asset perform much better and shown the possibility of an extension to its life. While that’s been going on, the whole world of factory materials has come to the fore and I personally didn’t appreciate at the time of South32 is that the nickel that’s produced out of Nickel West is one of some of the best nickel in the world in which to make batteries, particularly for electric vehicles. So that’s obviously changing the marketability of it, but it’s also giving us a window on the future of battery materials, which we need to consider for our own strategy. So we are putting all that into the mix. And while we are doing that, we are happy to retain Nickel West from now, but it could go either way in the future and the people who run that asset are well aware of that. It would seem at least a bit distracted by it, because we are doing great job. On cost inflation, while we are seeing the usual things, diesel, steel, satin basic commodities like for example sulfuric acid, but of course, the first two and to some extent the third are things that we also make and so we are not as affected by that. And on a net basis as you might think although it will show up in the cost numbers of individual assets. And then we are seeing sort of pockets of other inflation to do, let’s say, labor costs in parts of Australia. The shale business which is soon to go has seen a lot of inflation to do with fracking and drilling, but I wouldn’t want to exaggerate that. This has been a bit of a margin reset as some of those suppliers have moved back into profitability and I don’t think you should extrapolate that forever. So we are not completely at that phase by cost inflation. And with everything we see that’s possible in productivity, we feel and we are going to try very hard, we have a very good shot at actually matching that inflation and more, so we can continue to drive our cost down.
Clarke Wilkins: Right. Thank you.
Andrew Mackenzie: You are welcome.
Operator: Your next question comes from Myles Allsop from UBS.
Andrew Mackenzie: Hi, Myles. Another all-nighter for you. Thank you for doing that.
Myles Allsop: Just a little bit on the conventional exploration, can you just remind me of the timing of when we will get visibility on [indiscernible] from Trion and the Project Trinidad. And then secondly with your $9 billion of free cash flow, what’s your assumption for the market?
Andrew Mackenzie: Okay. I am going to give Peter the second question. But on the first one, well, we are drilling a well in Trinidad at the moment and after that we have one more well to drill, which is to give further appraise, the other gas discovery we have in Trinidad. And then the rig will go back and drill the first well in Trion, which is a part of the appraisal there and that will give us more visibility of it. Obviously, we have got a lot of interesting information coming in around the Shenzi area, previous questioner mentioned Samurai. And we are putting that altogether, but at the moment we are keen to be able to do something sooner rather than later. But as I have said in the answer to another question, I don’t have specific time is available for you just here. Peter, on assumptions for Samarco in the $9 billion.
Peter Beaven: I think you should expect on Samarco the cash flows for this and last year more or less something in line with what we have been experiencing over the FY ‘18 even FY ‘17. I think it’s more or less about $300 million or so on Renova. And then there is about $100 million, maybe a little bit more on other costs to support Samarco itself. Working capital support plus we have some costs inside of BHP, so solid in that total that’s going to be in that we have included in that forecast.
Andrew Mackenzie: Next question.
Operator: Your next question comes from Glyn Lawcock of UBS.
Andrew Mackenzie: Hi Glyn.
Glyn Lawcock: Hi, good morning, just two quick ones, just on the productivity program Andrew, I am just unclear you are working away from $2 billion number or is it – or it can be – or it’s the timeline just uncertain. And then the second one just interested in your thought and the Board when you set down the other guy to think about dividend and capital management, you know it’s the bottom end of your net debt range, but through your admission you will generate $9 billion of free cash flow, so by now you are probably below the bottom end of your net debt range, I would imagine with the cash you have generated in the last 7 weeks, how do you think about capital management and buybacks versus dividends and why now on market buyback now, I think you are probably at the bottom end of your range and it comes out of say future cash anyway? Thanks.
Andrew Mackenzie: Well, there is a lot in that second question. I am probably going to through some of it to Peter. But on the first one, look we are not walking away from the $2 billion target, it’s just going to take us a bit longer to deliver it because of the hit we took from the coal issues in the first half of this year. But as Peter said once we are through that target, we intend to put all our efforts and all our focus on unit cost guidance. But we still own that target. And the deficit that we are acknowledging and what we can deliver this year is mainly on the volume side. And so we will absolutely deliver that volume and deliver the remaining part of that target, but now in 2020 rather than in the financial year ‘19. I am going to ask Peter some of – to handle the details of your second question and then – but I would just say to you that as a company our intention is to make decisions about typically as to make decisions by a major capital distribution to do with the shale proceeds when we have the proceeds in the bank and when the Board can understand that other time rather than to preempt them. But Peter maybe you can take it over into the more detailed issues that Glyn asked.
Peter Beaven: As we do every 6 months, so it’s a clean sheet of paper when we just think about a dividend and I will just comment on really the final dividends, which is just the same as we always think about it, obviously 50% is the minimum with cash, so that’s a given and what is leftover at this point is $0.17, that’s the additional dividend that is included in the $0.63 we just declared. That totals about $900 million or so, just a little less than that accuracy. So, the first criteria for buyback versus cash dividends is, it has – the buyback has to be material. And secondly, obviously it has to be valued versus a cash dividend at $900 million or $850 million or so, that’s just not enough for us to undertake a buyback given the scale back even at the very, I mean, we have done big, big buybacks in past and you still get 90% scaled back. So for the amount of effort that we have to put into that to get less than $1 billion back to shareholders, we don’t think it’s a sensible thing to do at this point in time. But obviously the $10 billion that’s a different kettle of fish that obviously meets the materiality and so we will just assess the value of that in a way that we would normally consider investments and we will take a look at that, but we can’t make that decision until we have completed, we nearly completed the deal and so that’s October 31, so we will make a decision before that. And what we will have is a great opportunity to hear from all the shareholders now and then and obviously we have some incredibly important feedback.
Andrew Mackenzie: Okay, next question?
Operator: Our next question comes from James Gary [ph] from Deutsche Bank.
Andrew Mackenzie: Hi James.
Unidentified Analyst: Hi, Andrew. Thanks for taking the question. I see big paper in the press release certainly saying that they didn’t have any discussions with you about the whole of your North American petroleum portfolio, it’s definitely reassuring the strength of it today. Can you discuss how bullish you can considering letting go of these assets, I am happy to talk a little bit about two assets that you are flagging finally a bit in the next 12 months in Atlanta Street and Ruby?
Andrew Mackenzie: Okay. So let me just deal with the first question which is a very simple one. We didn’t remotely close to letting go of our conventional business. We were selling our shale business and we were selling our shale business that the Board had made a very clear decision that conventional business as it has come may configure this core to this company and it was not for sale. I don’t have the exact times to FID on Atlanta Street and Ruby. But I am sure the Investor Relations team is going to getting back to you after this presentation and let you know.
Unidentified Analyst: Okay.
Operator: Your next question comes from [indiscernible] from CLSA.
Andrew Mackenzie: Hi.
Unidentified Analyst: Thanks for taking my questions. Can you please provide an update on Trion given the recent government election in Mexico and also talking about cost increases in Queensland Coal given the cost inflation, can you please maybe talk about specific initiatives which will enable BHP to get back to that $57 a ton from the current guidance of $68 to $72? Thanks.
Andrew Mackenzie: I think I have already answered the second question and answered to some of the previous questions. So in the interest of time I will just I don’t have space for more questions, I will just talk about Trion. Look we have not seen any consequences and indeed the various commentary of the President elect of Mexico, no particular cause for alarm for us and in our country on we have a great relationship right now with Pemex. We have been able to progress all the approvals to drill the well pretty much in line with what we expected that we have seen other opportunities to drill. And as I said earlier I think about in a few months time, it will. So once we have completed our current appraisal program in Trinidad, the rig is going to Mexico or the Mexican side of the Gulf of Mexico to start the appraisal of Trion.
Unidentified Analyst: Thanks.
Operator: Your next question comes from Peter O'Connor from Shaw and Partners.
Andrew Mackenzie: Hi.
Peter O'Connor: Good morning, Andrew and Peter. I want to follow-on from the question about buyback, I think you made the comment that I think it was about value and scale which was the key factors you look at and just pickup on the value side of that, how do you take account of the value per share of BHP on an NPV basis or how would we think the value of your business when you do a buyback?
Andrew Mackenzie: Look, if Peter has anything to add, he can’t do, but I think at this stage we are very much in consultation mode. We are about to go on the road and talk to a lot about investors. We are clean to hear from them about some of the criteria they might wish us to apply and whether we look at, whether we return money through a buyback or through a special dividend and the Board really haven’t started that discussion yet and wouldn’t start that discussion until we have all that shareholder feedback until we have the money in the bank and then we will review things. So I am reluctant to give you anything detail there because we are still working on what’s the appropriate way to do it. Have I missed anything Peter?
Peter Beaven: That’s fine Andrew, I mean we think hard about all of the ways that we allocate capital, it’s pretty consistent on how we do things, you are happy to know and there is always lots of ranges that we think through and when we get there we will get there.
Peter O'Connor: Thanks Andrew.
Andrew Mackenzie: So are there any more questions?
Operator: There are no further questions at this stage.